Operator: Ladies and gentlemen, thank you for standing by, and welcome to the General Motors Company 2011 Calendar Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today Thursday, February 16, 2012. I would now like to turn the conference over to Randy Arickx, Executive Director of Communications and Investor Relations. Please go ahead sir.
Randy Arickx: Thanks, operator. Good morning and thank you for joining us as we review our 2011 calendar year results. As you know our press release was issued earlier this morning and the conference call materials are available on the investor relations website. I would also like to highlight that GM is broadcasting this call via the internet. Before we begin, I would like to direct your attention to the legend regarding forward-looking statements on the first page of the chart set. As always, the content of our call will be governed by this language. This morning, Dan Akerson, General Motors’ Chairman and CEO, will provide opening remarks; followed by a more detailed review by Dan Ammann, Senior Vice President and CFO. Dan Akerson will then conclude the remarks portion of our call with some closing comments. After the presentation portion of the call, we will open the lines for questions from security analysts. I would also like to mention that in the room today we have Nick Cyprus, Vice President, Controller and Chief Accounting Officer; Jim Davlin, Vice President, Finance, and Treasurer; and Chuck Stevens, CFO of North America and South America to assist in answering your questions. With that, I’d like to turn the call over to Dan Akerson.
Daniel Akerson: Thanks, Randy. Good morning, everyone. Thanks for joining us. Overall we posted a solid performance for the year and showed steady progress towards a sustained long term strong financial performance. Obviously, we still have a lot of work to do in some areas and we’re taking the necessary corrective actions to get the ball over the goal line. More on that in a moment. For the year global deliveries topped 9 million vehicles, up nearly 8% over 2010. In fact, we increased sales volume in each of our four regions. Not only our total sales volumes up but also was our overall market share. Global markets share came in at roughly 12%, 11.9% to be precise, up 0.4 percentage points. We gained share in our most critical markets. Our US share was 19.2%, up 0.4 percentage points. China share was up 0.7 percentage points to 13.6%. In fact we grew it more than three times the market and we were the first company to sell more than 2 million vehicles in China in two successive years and each year we do it earlier in the year which is good news. We also had good growth in emerging market such as Russia where we were up over 53% versus 2010, and we’re making significant progress and establishing our brands as aspirational. For example, Buick outsold the Audi A4, the Lexus IS250, and the Acura TSX in the US last year who would have thought that three years ago. In addition, 40% of Buick customers in the US were conquest sales, away from non-GM brands. This increase in volume in share translated the top line revenue growth with revenue up more than a $150 billion, up almost a 11% year-over-year. Our net income for the year was $7.6 billion, though it’s on the chart our net income for fourth quarter 2011 after adjusting for special items in restructuring cost, it was above $900 million, up 6% versus the fourth quarter in 2010 on the same basis. While full year revenue increased 11% we showed our operating leverage even in the midst of unfavorable mix shifts which we want to do, more cars, fewer trucks, SUVs, etcetera. We improved our EBIT adjust from $7 billion to $8.3 billion or an 18% improvement over 2010. GM North America delivered very strong results making $7.2 billion for the year with increased volume and favorable pricing, thanks to a vehicle portfolio that continues to gain traction with the American public, and a renewed small and compact car strategy that is starting to payoff. GME while improving from 2010 levels still posted an unacceptable loss of $700 million in a rather challenging market not only for GM Opel/Vauxhall but also for our competition. GMIO posted solid EBIT adjusted result of $1.9 billion for the year, though this was down $400 million from 2010 levels. Our equity income from joint ventures was actually up about 200 million for the year, or results as the consolidated operations level more than offset this. GM South America had a slight loss of a $100 million for the year, down $900 million from 2010. We plan to aggressively refresh our somewhat aging vehicle portfolio in South America while also executing stringent cost control actions in the short term. In fact we have seven new vehicles launching in 2012 alone. If the first two product launches are any indication, we should start to see some stability in growth in this area. Based on these earnings we generated $7.4 billion in automotive cash flow from operations. This allowed us to deploy some of the cash before significantly ramping up our capital expenditure rate, about $6.2 billion, while still retaining positive automotive free cash flow of $1.2 billion and increasing our available liquidity by $4 billion versus yearend 2010. Away from the numbers, we had a busy fourth quarter with a number of initiatives as accomplishments. As it marked its 100th birthday Chevrolet celebrated 2011 with record global sales. Sales totaled above 4.8 million vehicles that’s a new Chevrolet every 6.5 seconds. Three million of those Chevrolets were sold outside the United States, a sign of the strength of our global brand. In fact Chevrolet gained sales in the top five global markets in 2011. We’ve already sold more than a million cruisers around the world since our 2009 launch. The new Sonic has outsold Ford Fiesta in the first three months. We formally implemented the Canadian Healthcare Trust during the quarter. This is another important step towards improving our fortress balance sheet even further as we reduced our OPEB liabilities about $3 billion. As part of our effort to return GM Europe to sustainable profitability we made a few important management appointments during the quarter. First, we named Karl Stracke, President of GME and CEO of Opel/Vauxhall. We also appointed Steve Girsky as Chairman of the Supervisory Board. We named Dan Ammann, Tim Lee who runs international operations, and Mary Barra who runs our Global Product Operations Business to the Supervisory Board as well. Dan will soon touch on some of the plans we have for this group and plan to execute in the coming year. Lastly, we announced some important new products and features, the Chevy Malibu, the Cadillac XTS, Cadillac CUE to be available on the XTS, ATS, and SRX models. We will also be joined soon by some other great vehicles including the Cadillac ATS, Chevrolet Spark, Buick Encore just to name a few. I only recite these important milestones because there are many good things happening with GM. We need to press on these efforts but make no mistake, we know well what our challenges are and we’re assessing them, more to come later in the call. But at this time, I would like to turn it over to Dan Ammann for a more detailed inspection of the results.
Daniel Ammann: Thanks Dan. Before we get into the detail, I’d like to mention that we’ve further refined and simplified some of our charts, focusing the managerial discussion on EBIT adjusted. This is consistent with how we manage the business. In addition, we have now separately displayed the volume and experiences on the EBIT bridges and consolidated some other aspects of the presentation. Beginning on slide 4, where we provide a summary of our 2011 calendar year results compared to the prior year, net revenues were a $150 billion for 2011, up $14.7 billion from 2010. Operating income was $5.7 billion, up $600 million versus the prior year Net income to common stockholders was $7.6 billion and earnings per share were $4.58 on a fully diluted basis compared to $2.89 from the prior year including the impact of special items. Our automotive net cash from operating activities was $7.4 billion for the year. Moving to the non-GAAP metrics from the bottom of the page EBIT adjusted was $8.3 billion for 2011 up $1.3 billion from 2010. The EBIT adjusted margin was 5.5%, an increase of 30 basis points from the prior year. Automotive free cash flow was $1.2 billion down $1.2 billion versus the prior year. The 2011 free cash flow includes an unfavorable $1.1 billion related to determination of in transit financing in the first quarter and an $800 million contribution to the Canadian Healthcare trust in the fourth quarter. The 2010 free cash flow includes a $4 billion voluntary contribution to US pension plans. As Dan said, our results for the 2011 calendar year was solid and showed progress,1 we’ve more work to do in many areas of the business. Turning to slide 5, we list these special items in adjustments impacting the 2011 calendar year earnings. Net income to common stockholders was $7.6 billion and our fully diluted earnings per share were $4.58. Included in both of these metrics for the special items you see listed here which totaled a favorable $1.2 billion or $0.70 per share on a fully diluted basis for 2011. Turning to slide 6, we provided 2011 comparison of our consolidated EBIT adjusted to the prior year. Starting on the left our consolidated EBIT adjusted was $7 billion for 2010. In the middle portion of the slide we worked $1.3 billion improvement for the calendar year. Volume was favorable $2.4 billion, largely driven by 7.6% increase in the industry and a 0.4% increase in our global market share. Mix was unfavorable $1.7 billion, largely due to higher compact and small car volume in GMNA, as we’ve moved rapidly into leadership positions with Cruze, Sonic and Verano. Price was favorable $1.6 billion for the year due to actions we’ve taken to enhance revenue in every region and us getting rewarded for the quality of our product in the market place. Costs were unfavorable $1.7 billion, which included $1.2 billion in increased material costs, $700 million in increased engineering expense, $500 million in higher manufacturing expense, and $400 million reduction in favorable restructuring reserve adjustments in 2010, partially offset with $800 million in favorable D&A and $400 million in favorable pension income. Other was favorable $700 million for the year due to the $500 million in favorable earnings before tax from the full year inclusion of GM financial and $300 million lower restructuring charges. This totals to consolidated EBIT adjusted of $8.3 billion. On slide 7, we provide the composition of EBIT adjusted by region for the 2010 and 2011 calendar years. GMNA EBIT adjusted was a strong $7.2 billion for the year, up $1.5 billion from the prior year. GME’s EBIT adjusted was a loss of $700 million for the year but still a significant $1.3 billion improvement from 2010. Also EBIT adjusted before restructuring is memo items which is $400 million for the year and $800 million improvement over 2010. GMIO had an EBIT adjusted of $1.9 billion, down $400 million versus the prior year, and GMSA’s EBIT adjusted was a loss of $100 million which was $900 million unfavorable versus 2010. Excluding restructuring GMSA was breakeven for the year. GM financial reported pretax results of $600 million for the year, which was a $500 million improvement given the partial year reporting in 2010 as well as improvement on the core profitability of the business. Corporate eliminations were 500 million unfavorable for ’11 versus a $100 million favorable for the prior year reflecting $300 million unfavorable for foreign currency movements, $200 million unfavorable due to the absence of a favorable reserve adjustment in 2010 and some other small items. This nets to EBIT adjusted of $8.3 billion for the calendar year. On slide 8, we move on to a summary of results for the fourth quarter 2011 results compared to same period in 2010. Net revenues were $38 billion for the quarter up $1.1 billion versus the prior year. Operating income was $500 million, up $200 million versus 2010. Net income to common stockholders was $500 million unchanged from 2010. Earnings per share were $0.28 on a fully diluted basis compared to $0.31 from the prior year, and our automotive net cash from operating activities was $1.2 billion. Moving to the non-GAAP metrics on the bottom of the page, EBIT adjusted was $1.1 billion for the fourth quarter of 2011, up $100 million versus the prior year, and slightly ahead of the guidance that we gave you on our third quarter earnings called particularly when you take into account more than $200 million of restructuring charges incurred in the quarter. The EBIT adjusted margin for the quarter was 2.9 percentage points, up 0.1 percentage points from 2010. Automotive free cash flow was $900 million unfavorable, but this includes the $800 million contributions of the Canadian Healthcare Trust as well as a higher level of capital spending in the quarter. Turning to slide 9, we list the special items in adjustments impacting earnings in the fourth quarter. Our net income to common stockholders was $500 million and our fully diluted earnings per share was $0.28 for the fourth quarter 2011. Included in both of these figures is a $900 million goodwill impairment for operations in GME and GMIO, a $700 million gain for the implementation of a Canadian Healthcare Trust, a $600 million impairment in our investment in LI [ph], a $100 million gain on the Extinguishment of Debt, and a $400 million gain for the release of the deferred tax evaluation allowance in Australia. In total these special items reduced net income to common stockholders by $200 million in the fourth quarter, or $0.11 per share on a fully diluted basis. On slide 10 we provide the composition of EBIT adjusted by region for the fourth quarters of 2010 and 2011. GMNA’s EBIT adjusted was $1.5 billion for the fourth quarter of 2011, up $700 million from the prior year. GME’s EBIT adjusted was a loss of $600 million essentially no change from 2010 however slightly improved on a restructuring basis. GMIO had an EBIT adjusted of $400 million, a $100 million improvement versus the prior year, and GMSA’s EBIT adjusted was a $200 million loss including a $100 million of restructuring, down $400 million from 2010. GM Financial reported pre-tax results of $200 million, an improvement from the previous year. Corporate eliminations was $200 million unfavorable for the fourth quarter versus a $200 million favorable for the prior year resulting from the absence of the favorable reserve adjustment in 2010 that I mentioned earlier. This nets to an EBIT adjusted of $1.1 billion for the fourth quarter of 2011. Slide 11, shows our consolidated EBIT adjusted for the last five quarters. As we previously covered, we posted EBIT adjusted of $1.1 billion for the fourth quarter of 2011, up a $100 million from the prior year. The seasonality of results for 2011 is typical of what we expect to see going forward. Moving to the bottom of the slide, our operating income margin was 1.2% for the quarter, 2.4 percentage point improvement from the same period in 2010. Our EBIT adjusted margin was 2.9%, a 0.1 percentage point increase from the prior year. This is related primarily to stronger performance in GMNA offset with a decline in GM South America, which we will cover in the segment reviews. Our global production numbers continue to increase on a year-over-year basis. Net global market share was 11.7% for the fourth quarter up 0.2 percentage points from the prior year. Turning to slide 12, we provide a year-over-year comparison of our consolidated EBIT adjusted for the fourth quarter. Starting on the left, our EBIT adjusted was $1 billion for the fourth quarter of 2010. Moving to the middle portion of the slide, we had a $100 million improvement. Volume was $300 million favorable largely driven by 2% increase in the industry and a slight increase in our market share. Mix was $600 million unfavorable compared to the fourth quarter of 2010, due primarily to higher compact car and small car volume in GMNA with the successful launches of Sonic and Verano. Price was favorable $800 million for the quarter demonstrating the strength of our products across all regions. Costs were favorable $200 million and other was unfavorable $500 million reflecting the $400 million unfavorable performance in the corporate sector we discussed previously. This totals to a consolidated EBIT adjusted of $1.1 billion. On slide 13, we provide what we view as key performance indicators for GM North America. The two lines on top of the slide represents GM’s U.S. total and retail share. The bars on the slide represent GM’s average U.S. retail incentives on a per unit basis, and our U.S. retail incentives spending as a percentage of average transaction price and in comparison to the industry average, is noted on the bottom of the slide. For the fourth quarter of 2011, our U.S. retail share was 17%, down 0.9 percentage points versus the prior year. Our incentive levels on an absolute basis have remained unchanged from the prior year but have increased from the third quarter due to continued sell down from the prior model year vehicles in the industry. On a percentage of ATP basis our incentives were 10%, up 0.1% from the prior year. This puts us at a 108% of industry average levels for the fourth quarter of 2011. For January, our retail market share was 16.1% and our incentives were 10% of ATP. In terms of incentive levels, our continuing goal is to be at approximately industry average on a percentage of ATP basis. On slide 14, we have GMNA’s EBIT adjusted for the last five quarters. GMNA’s EBIT adjusted was $1.5 billion for the fourth quarter of 2011, up $700 million versus the prior year. Moving to the bottom of the slide, revenue was $23.1 billion, up $1.1 billion versus the prior year due to the impact of increased volume of $1.7 billion favorable pricing offset with some unfavorable mix. GMNA’s EBIT adjusted margin was 6.5% for the fourth quarter, up 3.1 percentage points from the prior year. U.S. dealer inventory was 583,000 units at the end of the fourth quarter or 67 days supply versus 511,000 units and 61-day supply at the end of 2010. GMNA production was 739,000 units for the quarter, a 36,000 increase from the prior year. GMNA market share was 17.5% for the quarter, 1% percentage point lower than the prior year. This decline was related to decreases in fleet penetration and higher incentives among our competitors luxury vehicles. Turning to slide 15 we provide the year-over-year comparison of GM North America’s fourth quarter EBIT adjusted. Starting on the left, GMNA’s EBIT adjusted was $0.8 billion for the fourth quarter of 2010. The middle section of the slide details a $700 million improvement in GMNA EBIT adjusted for the quarter. Volume was favorable $300 million, driven by a 9% increase in the North American industry. Mix was unfavorable $600 million due primarily to increased production of compact and small cars including the Verano and Sonic which were not produced in 2010. Price was favorable on a year-over-year basis, $500 million, because of increases we were able to take due to the success of our fuel efficient vehicles in the market place. Costs were favorable $500 million this quarter as we continue to make progress on our cost initiatives. Other was unchanged for the fourth quarter of 2010. This totals to an EBIT adjusted of $1.5 billion for the fourth quarter of 2011. Moving on to slide 16, GME reported an unfavorable EBIT adjusted of $600 million for the fourth quarter, an improvement of about $70 million from the prior year. This result includes approximately $200 million of restructuring charges that we brought on to the quarter. At the bottom of the slide, revenue was $6.3 billion for the quarter, down $600 million from the prior year. This decline was due to $700 million in unfavorable volume offset by some foreign exchange and mix and price. GME’s production for the quarter was 249,000 units down 64,000 from the prior year. The EBIT adjusted margin in the region was a negative 9% for the fourth quarter which was an improvement of 0.2 percentage points from the prior year. Turning to slide 17, we provide the major components of GME’s improvement in the EBIT adjusted which rounds to a $100 million. GME’s EBIT adjusted was a $600 million loss in the fourth quarter 2010, volume was a $100 million unfavorable driven by 0.4 percentage point loss share. Mix was essentially unchanged to the quarter price was a $100 million favorable on a year-over-year basis. Cost was $200 million favorable due to savings and manufacturing and engineering. Other was unfavorable $100 million due primarily to foreign exchange, this rounds to GME’s EBIT adjusted of $600 million for the fourth quarter or negative $400 million before restructuring charges. Before we move on I want to give a brief update on our restructuring plans in Europe. As you know we implemented restructuring plan in Europe over the last two years that was intended to restore GME profitability. This plan has delivered $1.3 billion in improvement in EBIT adjusted in 2010 versus 2010. However, that plan was built around a more robust European economy than we face today. And in light of today’s macro economic reality it did not go far enough resulting in a loss of $700 million this year or $400 million restructuring, and this is simply unacceptable on a go forward basis. The works council, the unions, and the supervisory board of automobile are all in agreement that has to become profitable even in a challenging economic environment. The overall European industry remains challenging from a price, volume, and capacity utilization perspective. And we are not relying on things to get better as we’re forecasting the overall markets to be down in 2012, a continued pressure on price and mix. Just like in the United States a couple of years ago we will need to show improvement in both revenues and cost to be successful. The good news is our product portfolio is in very strong shape. However, we must move rapidly and decisively to take the steps necessary to lower the breakeven point and improve the business. We will work with all of our stakeholders including the unions and governments of every country to do what’s required to fix this business up and down the P&L. We have deployed significant senior resources to Europe and have made important changes to the management team on the ground. We are currently in discussions with the unions and the works councils on actions we can take now in response to the current economic conditions. Those discussions include fulfilling contractual obligations on both sides, finding ways to improve capacity utilization, and jointly working on actions to improve our breakeven condition in Europe. We expect to have more to say soon with regard to further actions as we continue to work on developing actions that will enable GME to be profitable again. Moving on to slide 18, GMIO posted EBIT adjusted of $400 million for the fourth quarter, up a $100 million versus the prior year. Moving to the bottom of the slide, GMIO’s revenue was $7 billion, up $1.2 billion from the prior year due to increased volume of a $1 billion, improved vehicle mix of $200 million and some favorable price offset with unfavorable foreign currency. GMIO’s EBIT adjusted margin from consolidated operations decreased 0.06 percentage points versus the prior year to 1.5%. In total China JV net income margins increased 0.06 percentage points to 8.4%. GMIO production for the quarter was up 92,000 units from the prior year with increases in both consolidated operations and our joint ventures. Market share in the region was 9.5% for the fourth quarter, a year-over-year increase of 0.8 percentage points. On slide 19, we provide the major components of GMIOs $100 million improvement in EBIT adjusted. GMIOs EBIT adjusted was $300 million in the fourth quarter of 2010. The impact of volume was $200 million favorable. This was driven primarily by 0.8 percentage point increase in market share. Mix was unfavorable $100 million due primarily to a shift to smaller cars in Australia. The effective price was a $100 million favorable for the quarter, and cost for unfavorable $300 million due primarily to increased engineering expense as well as several other items. Other was favorable 100 million due to favorable equity income and non-controlling interest. This totals to GMIO’s fourth quarter 2011 EBIT adjusted of $400 million. Turning to slide 20, GMSA EBIT adjusted was a loss of $200 million for the fourth quarter of 2011 which includes a $100 million of restructuring charges. This was a decline of a $400 million versus the prior year. Revenue was $4.2 billion down $300 million due to decreased volume of 200 million and unfavorable foreign exchange. GMSA’s production was down 14,000 units from the fourth quarter of 2010 and GMSA EBIT adjusted margin was a negative 5.4%, down 9.8 percentage points from the prior year. On slide 21 we provide the major components of GMSAs $400 million reduction in EBIT adjusted versus the prior year. Volume was unfavorable 100 million driven by 1 percentage point loss of market share in an industry the declined 1.9%. Mix was flat versus the prior year. Price was favorable 100 million, largely related to increases in Venezuela and Argentina. Costs were unfavorable $300 million driven by material freight increases of $200 million and unfavorable manufacturing cost of $100 million. Other was $100 million unfavorable due to foreign exchange. This totals the loss of $200 million in the fourth quarter which as I said includes a $100 million in restructuring. However, late 2011 launches are just beginning to have an impact in the region. In the Brazilian market, the Cruze has been second in the segment through January of this year, and Cobalt became its segment leader in the month. While we are launching several additional great products this year we need to further reduce cost in South America to ensure sustained profitability in the region. Turning to slide 22, we provide our walk of automotive free cash flow for the fourth quarter of 2011 as well as the prior year. Adding back non-controlling interest, preferred dividends, and undistributed earnings allocated Series B and subtracting GM financial, our automotive income was $600 million for the fourth quarter. D&A and impairment was $2.3 billion non-cash expense. Working capital was $900 million favorable due to a reduction in inventory because of the holiday shutdowns. Pension and OPEB cash payments exceeded expenses by $400 million. The establishment of the Canadian Healthcare Trust resulted in a payment of $800 million and a non-cash gain of $700 million or $1.5 billion in total. Other was negative $700 million due primarily to non-cash P&L items. This total is down to automotive net cash provided by operating activities of $1.2 billion. After deducting CapEx of $2.2 billion in the quarter our automotive free cash flow was negative $900 million or a $1.9 billion improvement from the prior year. Much of the improvement is due to the $4 billion pension contribution in 2010 offset by the $800 million contribution to the Canadian Healthcare Trust in 2011 and $1.1 billion in additional capital spending. In terms of capital expenditures we expect 2012 to approximate our spending rate during the fourth quarter within the $8 billion range for the year as we prepare for several major new product launches in 2012 and 2013. On slide 23, we provide a summary of our key automotive balance sheet items. We finished the quarter with $37.5 billion of total automotive liquidity consisting of $31.6 billion in cash and marketable securities and $5.9 billion of ongoing credit facilities. On the bottom portion of the slide our book value of debt and Series A preferred stock was $5.3 billion and $5.5 billion respectively. The increase in debt from a year ago was accounted for by the $1.1 billion note for the Canadian Healthcare Trust offset with debt was paid down during the year. US qualified pension plans were under funded by $13.3 billion which I’ll discuss more in a few minutes. Our non-US pension were under funded by $11.6 billion at the end of 2011, $1.3 billion unfavorable move from 2010. Our OPEB liability was $7.3 billion at the end of 2011, a $2.6 billion improvement from year end 2010. This decrease was due primarily to $3.1 billion we removed from the balance sheet with the Canadian Healthcare Trust offset with an unfavorable impact of decreases in discount rate from remaining liabilities. Turning to slide 24, we provide more detail on our pension de-risking actions. Operationally, we have kept the US populations about [indiscernible] and all new employees will only participate in defined contribution plans. We have also initiated a lump sum option in our salary pension plan upon retirement, although this will have little immediate impact on the funded status of the plan, it will limit the longevity of the US salary plan and reduce absent liability risk. We recently announced to our employees that we will freeze our salary defined benefit plan for US active employees in September of this year. Those employees who are affected will begin to receive an additional contribution to their 401k plans at that time consistent with our most recent hires. We are also continuing to explore other actions to reduce our pension liability risk. As far as asset actions, we continue to realign asset allocation to reduce funded status volatility and more closely match corresponding allocation [ph]. At the bottom of the page we detail our target asset allocation for the US pension plans. The equity investment target is reduced to 15 percentage points to 14% while the fixed income investment target has increased 25 percentage points to 66%. Our actual asset mix at yearend 2011 was roughly in line with the current target. On slide 25 we take a look at our roughly flat percentage funded status of our US pension plans. Starting at the left of the slide, our US pension plans were underfunded by $11.5 billion at the end of 2010 or said another way 89% funded. In January of 2011 we made a contribution of GM common stock to the US pension plans. This contribution became a plan asset for accounting purposes in the third quarter of 2011 and was valued at $1.9 billion. Service and interest cost on the US plans was $5.4 billion for the year. Our asset returns were a very strong 11.1% which translates to $10.1 billion on a dollar basis. Due to lower yields in the corporate bond market the discount rate of the US pension plan PBR reduced approximately 80 basis points. This change in assumption plus other small items reduced the funded status by $8.4 billion. This results in our US pensions being underfunded by $13.3 billion at yearend 2011 or 88% funded essentially flat year-over-year. On slide 26 we showed pension income and expense for GMNA and the rest of the world for 2010, 2011, and our expected expense for 2012. In 2010 we recorded pension income of a $100 million and in 2011 we had pension income $500 million due in part to our relatively high expected return on assets. However, because of the actions we have taken to de-risk our pension plan we must now assume returns that are in line with our new expected asset base. At this time we expect our global pension expense to be $300 million for 2012, given a US expected asset return of 6.2%. This will be an $800 million unfavorable from our 2011 record of pension income with the entire impact being recognized in GMNA. Slide 27 provides a summary of key operational metrics for GM Financial. GM Financial reported their results earlier this morning and will be holding an earnings conference call at noon. Our US subprime financing in the fourth quarter has increased over the prior year to 6.8% and continues to exceed the industry average. Our U.S. lease penetration of 11.1% is lower than the prior year and continues to trail the industry average. This lower lease penetration is due to our relatively higher mix of products which are traditionally leased at lower rates. Lease penetration in Canada has continued to improve. The increased availability of leasing in Canada has increased our lease penetration to 8.5%, 5.1 percentage points higher than the prior year but still significantly below the industry average and an opportunity for us going forward. GM new vehicles as a percentage of GM Financial originations, and GM Financial’s percentage of GM’s US subprime financing and leasing volume, have both increased significantly since the fourth quarter of 2010. GM Financial showed strong credit performance in its loan portfolio, with annualized net credit losses of 3.3% for the quarter, a whole 2.2 percentage points better than the 5.5% annualized loss rate from the prior year. Earnings before tax were $170 million for the quarter. Turning to slide 28, we’ll look at our outlook. The first column gives the variances when comparing our 2010 results with those in 2011. The second column gives their outlook when we compare results from 2011 to our expected performances of 2012. As we have already indicated in our U.S. sales goals, we expect the industry to continue to grow in 2012 around the world and with U.S. [indiscernible] light vehicles in the $13.5 million to $14 million range along with continued sales growth in most of the BRIC markets. We expect our global market share to remain roughly flat for the year. With the industry growth and generally stable market share, we anticipate increased volumes. Due to the ongoing introduction of strong product in every region, we anticipate having continued favorable pricing environment across the world in 2012. However, with increasing fuel prices and regulatory pressures we forecast mix will again be unfavorable, but perhaps to a lesser extent than 2011 versus 2010. We expect cost to be well contained in 2012 when compared to 2011 excluding the unfavorable year-over-year change in pension expense that we previously discussed. This includes modest reductions in engineering, advertising, and marketing and start to recognize savings related to complexity reduction, leveraging our global scale, and focusing on reducing administrative costs. These savings will be offset by increased product launch related costs and manufacturing. Finally, as we have already discussed we will be increasing our level of capital expenditures this year to be in the $8 billion range. With that, I would like to turn it back over to Dan Akerson for his summary and closing remarks.
Daniel Akerson: Thanks, Dan. So to recap I would characterize the fourth quarter results as another step in the right direction. We had improved our global sales volume, improved our market share, higher EBIT adjusted earnings, and better margins in the fourth quarter 2010. We posted solid results of both GMNA and GMIO and as mentioned continued challenges in Europe and South America which we are addressing rather aggressively. Like Yogi Berra said, it’s tough to make predictions especially about the future. But for 2012 we expect the global industry to continue to rebound and we anticipate being able to grow the top line. Finally, as this slide shows, slide 30, our business model for today’s GM remains a beacon for us to follow. We continue to systematically execute our plan which includes investing in new products, strengthening our balance sheet, preserving our low breakeven point, and growing in emerging markets. We have three key elements to long term sustained performance which you see in this pyramid. On the bottom, the foundation, is our aim to reduce the company’s risk profile. Good examples of this are the actions Dan discussed around reducing our pension and OPEB exposure. This improved risk profile allows us to reinvest in the company consistently through good and bad times. Smoothing out the work load in product development and most importantly consistently launching great new products in key market growth areas. As Dan mentioned we anticipate increasing our reinvestment into the products CapEx at a higher rate in 2012 in a more sustainable target level. Second, we continue to leverage GM's leading position in key growth markets and to a sustainable profitable growth. That includes strengthening the value of all of our brands around the world. Just look at the success of Chevrolet in 2011, over 3 million sales outside the United States. And at the top is our overall vision to design, build, and sell the world’s best vehicle. Everything we do start and ends with great products. And the numbers prove that the plan is working. With global market share up 4/10th of a percentage point, net income up 11%, strong margins and positive pricing around the globe. That’s our plan. We hear to it day and day out. We continue to be vigilant in reducing cost and complexity while at the same time keeping product king above all else. Thank you and now we will take your questions.
Operator: Thank you. Ladies and gentleman we will now proceed with the question and answer session. [Operator Instructions] Our first question comes from the line of Brian Johnson with Barclays Capital. Please proceed with your question.
Brian Johnson – Barclays Capital: A financially oriented question and then a more managerial one, both relate to the cost containment. So first maybe for Dan Ammann. If you could maybe give some more color on the components of the cost lock in North America. In prior quarters you broken out between engineering materials and marketing. Then the second, because we have seen cost pressures at other makers maybe for Dan Ammann and Dan Akerson. How are you managing cost differently than you might have coming out of last year in early this year, the kind of additional steps you are taking?
Daniel Ammann: Sure. I’ll let Chuck address the lock and then I’ll make some comments on what we do in general.
Chuck Stevens: Okay, Brian, presumably you are referring to the Q4 half a billion dollars improvement. On a year-over-year basis we saved about a $100 million in advertising last year. We had a pretty heavy launch cadence this year. We generated some efficiency from some of the global marketing efforts that we are undertaking. We picked up about a $100 million in engineering. We have talked before about the year-over-year improvement and depreciation and amortization and that was worth a couple of $100 million and then a $100 million across all other costs. So those were primary drivers of the improvement quarter-over-quarter.
Brian Johnson – Barclays Capital: And you didn’t mention commodities is that just washed out or?
Chuck Stevens: Yeah. From a North American perspective in Q4, material, freight, the net impact was marginal. For the year about a $400 million headwind primarily freight, but for the fourth quarter it’s relatively flat year-over-year.
Dan Ammann: Is that just to add on from a more general perspective. We have been pretty clear over the last several quarters about how we are going after, it’s just the way we do business around the company. You know, running the company as one big company as opposed to a lot of little ones, getting after scale efficiencies, whether it’s in things like marketing buy or engineering operations, all across the companies. So there is no one sort of magical initiative that’s giving rise to progress on this front. It’s really getting after it on a very broad based basis in a lot of ways changing the way that we face the market in terms of sourcing and everything else. So, no single one answer. If you are starting to see some progress toward a lot of the cost opportunity that we have, what I would say is that we see progress next year on this front. But this is a story that’s going to unfold over the next few years. This isn’t all about getting it all done in 2012. There are some of the things that we are going after that will come more quickly on the administrative side and things like that. Other elements I think are going to take longer for us to get to and those are more – things that are more closely linked into the vehicle development programs.
Daniel Akerson: But I think the advertising is indicative of the initiatives and outcome and it only because of public. We have on the order of $3.5 billion in global advertising. We had dozens of advertising agency, some multiple media managers and many creative, and we just let that become too decentralized and we lost our purchasing power. So it was supported in advertising, and this will make hundreds of millions of dollars a year difference to us. Some of that will take to the bottom line and some of it will become a better more efficient advertiser and will get a bigger share of voice in the market place. But it gives you an idea of to go to dance the way he described it, we are going to manage it as one big company and leverage our scale. We haven’t done that sufficiently in the past rather than be in many little companies. We don’t want to be divided and conquered. We want to have as much power on a global basis as we can and we’ll look forward to either cost opportunities or the ability to get a greater share of voice in this instance or potentially more market share.
Brian Johnson – Barclays Capital: And is that approach extending to the auto parts supply base?
Dan Ammann: The parts we are taking in with the supply base, and as we’ve talked about previously is to bring the suppliers in much earlier in the vehicle development process than we have historically to make sure that we are getting much more involvement and much more idea generation out of the supply base and getting sort of one price right upfront as opposed to continual change in share all the way through the development process. So, clearly, material cost efficiency is an important part of what we are doing, but the way we are getting to that is working with the suppliers differently than we have previously which refers to both our benefit and also the [indiscernible] frankly.
Brian Johnson – Barclays Capital: Thanks.
Operator: Our next question is coming from the line of Chris Ceraso with Credit Suisse. Please proceed with your question.
Christopher Ceraso – Credit Suisse: Thank you. Good morning. A couple of items, first on South America. You mentioned some of the new products launched late in 2011, you’ve got more coming in 2012. Should we expect to see profitability in that region improve year-over-year.
Daniel Ammann: Yes.
Christopher Ceraso – Credit Suisse: Okay. Second question on the pension. I like the idea of further de-risking and trying to match the assets with the liabilities, but I wonder why you would move so aggressively into fixed income when rates are so low which could hurt you on the asset side and potentially help you on the liability side as rates go up. Can you talk about that a little bit?
Daniel Ammann: Sure, it’s my favorite topic. Clearly, the de-risking move that we began to make in 2010 when we started talking about that has helped us significantly through this year, and if you look at our asset returns relative to just about any other pension plan they are obviously very high. A big chunk of that is because of the waiting that we added fixed income during this year. So that’s not a move that was made, you know, at the end of the year that’s a move that’s been underway for an extended period of time and would benefit us significantly from that move relative to where we are. So, you see the allocations there. I mean we still benefit on a net basis from an increase in interest rates make no mistakes. So if rates go up that will clearly benefit us, but we have materially less downside during the course of this year than we would have had if we had not made the asset moves that we made beginning 12 to 18 months ago.
Christopher Ceraso – Credit Suisse: Okay, and on the pension do you have an idea of what you might contribute to the plan in 2012?
Daniel Ammann: We don’t have any specific plans at this time.
Christopher Ceraso – Credit Suisse: Does that mean zero or?
Daniel Ammann: It means we don’t have any specific plans at this time.
Christopher Ceraso – Credit Suisse: Okay, and then just the last question on the tax rate. What should we expect for 2012?
Daniel Ammann: 10% is a safe assumption. Clearly, it will move around depending on where profitability is generated around the world, but on safer modeling purposes at least for now I would use 10%.
Christopher Ceraso – Credit Suisse: Okay, thank you.
Operator: Our next question is coming from the line of John Murphy with Bank of America/Merrill Lynch. Please proceed with your question.
John Murphy - Bank of America/Merrill Lynch: Good morning guys. If we look at slide 28 and the arrow in the direction, everything is sort of in a same general direction that you saw in 2011 versus 2010 going into 2012 versus 2011. I'm just curious as we look at the EBIT improvement of $1.3 billion in 2011 versus 2010, I mean could we see something in that same magnitude there. Obviously, you guys aren’t giving exact numbers, but looking at the direction and what you are talking about, it looks like a year that would probably have the same trajectory what we just saw in 2011 and 2012.
Daniel Ammann: You are correct that we are not giving exact numbers. The point of the message here is a number of the trends will continue, similar to what we saw 11/10, as I said in my prepared remarks we expect a growing industry, we expect share to be more flat as opposed to up. We expect to continue to take some price, mix will go the other way, costs, right now we are feeling cost should be pretty well contained other than obviously for the change in pension income that we talked about. And then the other factor is obviously mix and how that factors in. So, it’s really a question as to how the relative weightings of those play out as obviously drive the result for the year.
John Murphy – Bank of America/Merrill Lynch: Okay. And then just second question on the change of the GMT900 to the K2XX, a lot of that heavy lifting sounds like it’s going on this year as far as the tooling and all the change over there, but the truck is going to launch in 2013. I'm just curious as far as the cost that are going to be ramped up there, will there be a meaningful pressure on margins as you go through that change over or will we see the launch cost really coming more in 2013 when the truck is actually launched?
Daniel Ammann: Part of what I said and Chuck can add on too. But what I said in my prepared remarks is that we are anticipating some impact from those costs this year and that’s factored in our cost observation here and we are working to offset those with some of the other initiatives that we are working on.
Chuck Stevens: I would say the launch costs will lead over 2012 and 2013. This year a lot of the project related expense will be incurred and as Dan mentioned some that’s been offset by other efficiencies, and then as we go on to the launch mode next year and still PVD, but obviously marketing launch costs will be an issue that we’ll have to deal with on the GMT900 platform for the next gen K2XX.
John Murphy – Bank of America/Merrill Lynch: Okay, and then just lastly if we look at cap yield for 2011 in North America ran at 97.2%, so a pretty solid and healthy capacity utilization number there. Just curious if the market recovers you maintain or at least maintain market share going into 2012 and 2013, how high you can ramp that cap yield and at what point do you start having hire workers back?
Daniel Akerson: Yeah, I think that right now we have roughly 40% of our plants on three shifts. We can continue where demand requires to take plants up to three shifts, and when that happens obviously we will be hiring people back to man those shifts. I think on a theoretical basis we could take our capacity utilization up to about a 125% or 130% as measured on a two crew, two shift basis. So we’ve got some obviously potential upside from a capacity perspective without putting in brick and mortar, we’ll just have to hire people to man those shifts.
John Murphy – Bank of America/Merrill Lynch: Right, that’s very helpful. Thank you.
Operator: Our next question is coming from the line of Itay Michaeli with Citi. Please proceed with your question.
Itay Michaeli – Citi: Great. Thank you. Good morning. Just wanted to talk about pricing and mix in North America for 2012. Maybe if you could help us dimension the net of those two. It looks like in 2011 it was a slight negative, if the mix gets less than that in 2012, do you think price mix are essentially a wash in North America in 2012 or any color there will be helpful?
Daniel Ammann: Chuck can address North America, but the comments I gave were global comments just relating to mix.
Chuck Stevens: If you look at 2011, price versus mix, slight headwind from a North American perspective. And I would say that in general terms I would expect to see kind of the same outcome in 2012 although kind of the nominal of both of those will be reduced, I think we will have a little bit less price and a little bit less mix implications in 2012 versus 2011.
Itay Michaeli – Citi: That’s helpful Chuck. And then just a quick follow up. At the end can you talk about the rational for why you didn’t make a contribution to the pension in the fourth quarter, of course we didn’t have to make one. But the cash flow is still solid, you have plenty of cash and you would have obviously earned a little bit of income by doing that as well. Can you talk about the rationale for doing that?
Daniel Ammann: Sure. Well, [indiscernible] I guess the most important thing we are working on is de-risking the plants and managing and understanding that under status volatility. We have no required contributions to the next five years at least. So we have a tremendous amount of flexibility in sort of when and how we deploy cash into the pension plans. As you point out one benefit of putting the cash into the plan as you get to earn your accounting rate of return assumption on that, but frankly that in our mind isn’t good enough reason on its own, just to put that cash in there, and once it’s in there you can't get it out of there. So, we are focused first and foremost on the de-risking strategy. We obviously would rather get some tailwind from asset returns and discount rate to bring the plan more closely to fully funded before we start dropping large amounts of cash into the plant. So, we want to preserve flexibility. We have the flexibility to play this out for a little longer and that’s what we are doing.
Itay Michaeli – Citi : Great. Thanks so much guys.
Operator: Our next question is coming from the line of Peter Nesvold with Jefferies & Company. Please proceed with your question.
Peter Nesvold – Jefferies & Co.: Good morning. I guess you know bottom line I would love to understand our margins, total automotive margins likely to be up in 2012 or not, and in North America do you expect that it will be up. I definitely respect the fact you have outlined a lot of the individual moving parts and clearly there are lots of them, but as you aggregate them all together and based on volumes and pricing as you see them now, is there any way you can help us come to sort of a net conclusion on all that?
Daniel Ammann: Yeah. Peter, it’s a fair question, but at this point we are not bringing all of that to a conclusion based on where we are right now. We think the perspective we’ve given on each of the components is our best view of where those would go. You will see how the net of all of that comes together over the course of the year. We will see progress as we go through the first quarter, second quarter, and we will have increased visibility as we make progress through the year.
Peter Nesvold – Jefferies & Co.: Okay. And then my follow-up question is on Europe. Press reports in January and February were suggesting that there might be a broader restructuring plan maybe towards the end of March. Can you comment on that? Is that a realistic timeframe? As you go through that process if the union doesn’t agree to reopen the contract, are there any major leverage that you can pull outside of the union contract that you haven’t already tried to pull in the past?
Daniel Ammann: We are working up and down the P&L as I have said earlier. This is not a one dimensional problem of only capacity, and that's the only problem and everything else is fine. We are working up and down the P&L product portfolio. We think it’s in very good shape. We are making sure that our quality of sales mix and country mix and all of that is getting optimized. We are working on initiatives to combine for example a lot of the bank office operations of Opel/Vauxhall on the one hand and Chevrolet Europe on the other. There is a lot of duplication and efficiency opportunity there. We are working on efficiency in engineering operations. We are working on efficiency in all parts of the business. So, I don’t want anyone to have the perception that this is sort of a one dimensional manufacturing cost problem or capacity utilization problem. Getting to profitability is going to require progress on those fronts and on all fronts. We are working very aggressively. You have seen the management deployments that we’ve made. You have seen some of the management changes we’ve made over there. We are bringing a lot of change to the business and a lot of change in approach and a lot of urgency. So, I don’t have a specific timeline for you, but you can be sure that we are spending a lot of time there, a lot of us here are spending a lot of time there and we are very, very focused on getting to the right answer.
Peter Nesvold – Jefferies & Co.: Great, thank you.
Operator: Our next question is coming from the line of Adam Jonas with Morgan Stanley. Please go ahead.
Adam Jonas – Morgan Stanley: Hi, thanks guys. Couple of questions. First, was there anything at all you can highlight that was one off in nature in North America and the fourth quarter, just wanted to confirm that aside from what you mentioned there were no other items either year-on-year or within the quarter itself that we are going to look back on and say it was one off in nature.
Chuck Stevens: Adam, Chuck. I would say it’s fundamentally any one time items kind of netted to zero there were some puts and takes, but fundamentally there wasn’t a dollar adjustment or a significant retroactive reserve adjustment or anything else like that. So it was pretty fundamental operating performance in Q4.
Adam Jonas – Morgan Stanley: Okay, thanks Chuck. Question then big picture, you guys have given I think a pretty good deal of incremental cost information on the outlook. If you break things down to four buckets, volume, pricing mix, and the pensions from ’11 to ’12 you have indicated in the call that pricing and mix could net to a small headwind, but similar to may be last year’s nothing dramatic. And then we left them with volume versus pensions, you have been very specific in $800 million for pension, and if we were to do some idiot math and divide a 25% operating leverage into the $800 million you would only need to grow your volume and revenue terms by about $3.2 billion which is about a 2% volume growth. I'm just wondering ex Europe, I am putting Europe aside, because understandably the charges there could be huge and up in the air, but ex-Europe it seems like – why wouldn’t you be able to target stable profitability from ’11 to ’12, i.e. volume offsetting the $800 million pension.
Daniel Ammann: Well, again the view we’ve given is anal encompassing view including Europe.
Adam Jonas – Morgan Stanley: Understandably, but ex-Europe, is it unreasonable then to assume that ex-Europe profitability couldn’t be at least strong this year as in 2011?
Daniel Ammann: Well, again, we are not saying it could be or couldn’t be. We are just trying to give you a sense for the parameters and how we are weighing them up. So you’ve got your own model. You can put them together there and come up with your own perspective on it, but we will try to be as clear as we can and giving you the building cost at least.
Adam Jonas - Morgan Stanley: Okay. So, exactly you only need 2% or 3% volume growth to offset the $800 million, let’s see. Last question, the 11.1% after return on the pension, phenomenal. I think you probably have a lot of investors on the call that would love to get the resumes from the people that are running that plant for you. So watch out. But, how much of that 11.1 was the interest rate swap versus really the pure, you know having the pure exposure to the longer dated government funds? Thanks.
Chuck Stevens: We don’t break out the relative contribution of those, but I mean what drove the asset performance was an aggregate long duration fixed income exposure.
Adam Jonas – Morgan Stanley: Okay, so you wouldn’t call out interest rate swap as anything material at this point?
Daniel Ammann: Well, I’d just say that it’s part of our overall fixed income strategy.
Adam Jonas - Morgan Stanley: Okay. Bye Dan. Thanks guys.
Operator: And our next question is coming from the line of Himanshu Patel with JPMorgan. Please proceed with your question.
Himanshu Patel – JPMorgan: Hi, good morning. I wanted to just go back to Europe. Dan you mentioned the issue there are not one dimensional, but when you kind of do a post mortem on the last restructuring in Europe, it’s pretty clear and very obvious that absence of German vehicle capacity – assembly capacity closure was kind of one of the key elements missing in that plant. Your comment earlier sort of suggested the workers council and everyone is kind of working together. Can you just talk a little bit about what’s happening with the tone of the conversations with the union there to the extend you can? On the outside it would seem more difficult now to get any sort of capacity actions done in Europe given where volumes are actually much lower kind of during your last round of restructuring. So, has there been some sort of – I don’t know what it is, but there has just been kind of an eye-opening experience with unions like we’re at that stage where we have to do stuff, or is that kind of a false observation that the tone has shifted?
Daniel Akerson: This is Dan Akerson. Let me weigh-in on that. I think there is a general recognition by all constituencies that the situation in Europe today is not a whole lot different than it was in the United States or North America generally three-plus years ago. I think there is a constructive engagement and I think everybody around the table understand that there has been a material change in the outlook for European economies generally. That’s in the paper every day, and it’s certainly weighing on the consumer’s mind and how they look at it. So, I think as Dan briefly touched upon it though, this is an element of our going-forward perspective or strategy that we have to match capacity with demand and demand has been falling. But, more broadly, more systemically, we have got to look at every aspect of the business and one of our goals is to make sure that we have the proper scale for the opportunity that’s offered in the intermediate to near term, and then we have to structure the company for a long-term profitability and sustainability. But we’re looking at everything and in order to achieve a better breakeven point, a lower breakeven point and scale. So, when you – there is more to come on this, I think in the next couple of months, but we’re not approaching the problem on a one-dimensional or two-dimensional basis.
Himanshu Patel – JPMorgan: Okay. And then one the exacerbating issues around the European profitability during the last turn was just all the negative media around Opel’s viability and that sort of became a very nasty circular effect on your market share over there. You are seeing some sequential and year-over-year European market share slippage now. I’m just curious what do you guys attribute that to? Do you think this is just some sort of soft patch in the product cadence or do you think there are some exogenous issues such as what happened last time where it’s really kind of more of the perception of Opel and whether it’s going to around and in what form that’s affecting the share right now?
Daniel Ammann: It’s Ammann. I would say that the – now, there is one element that you missed in there, which is we have been very proactively looking at the quality of sale across all of our markets in Europe and there have been some markets notably in the UK sort of rental fleet market where we have proactively just taken business out of that market because it hasn’t made economic sense. So, you – there has been – when you look at the share numbers, you really need to look at them on a country-by-country basis to some extent to understand what’s going on in looking at an aggregated share number can be a little bit misleading. So, don’t underestimate the impact of some of the proactive decisions we made to get out of some lines of business.
Himanshu Patel – JPMorgan: Okay. Thank you.
Operator: Our next question is coming from the line of Rob Lache with Deutsche Capital. Please go ahead.
Rod Lache – Deutsche Capital: Hi, everybody. Just a couple of additional things on Europe. You mentioned this target of breakeven for that market. You’re extra-structuring losing $200 million to $400 million a quarter in the back half. So, is it correct that the boggy for your cost savings would be a little bit over a $1 billion of cost saving or is there a reason why the earnings level that you’re recognizing right now is a little bit below what your normal run rate would be. For example, did you reduce inventory somewhat during the quarter?
Daniel Akerson: Well, the fourth quarter is, as you know, is sort of seasonally the weakest quarter of the year. If look back on 2010 and 2011, you see that impact. Production was down, as you point out in the fourth quarter. So, as to the cost savings target, obviously a lot depends on the dynamics in the market, and as you well know, the first lever that tends to get pulled in Europe has been the price lever and that’s certainly what we’ve seen over the last few months here with volumes sort of following that down. So, clearly the price-volume combination, how we play that, how the industry plays that is going to be the biggest single determinant of profitability outcomes in the immediate term in addition to obviously the cost actions and other things we’re going after.
Rod Lache – Deutsche Capital: Okay. And there is also certainly a perception that your hands are tied somewhat in the short term because of commitments that you’ve made to labor. It sounds to me like you are not directly disputing that, but at least suggesting that there is some flexibility there. Is that a correct assessment? And then also just related to the Europe from a broader perspective, obviously as you mentioned, this is not just a GM problem, this is an industry problem. Is there any signs that you are seeing just from a high level that the market is moving towards some kind of a structural change that would ultimately result in improvement for more broad based, similar to what we saw in North America.
Daniel Ammann: Sure, so on the short term flexibility I mean there are things we can do in the short term, the concept of short work and things like that to manage man capacity on a current basis. So there are a number of initiatives and things that we are looking at within the sort of short term flexibility window if you like. As it relates to overall market change I mean I think there are fundamental challenges in the industry in Europe. We are clearly focused on the things that we can control on our business that we are watching closely to see what other changes and things are going on the industry to try to address some of the most systemic issues if you like.
Rod Lache – Deutsche Capital: Okay, thank you.
Operator: Our final question coming from the line of Timothy Denoyer with Wolfe Trahan & Co. Please proceed with your question.
Timothy Denoyer – Wolfe Trahan & Co.: Good morning. Question on North America as we look at 2012. In the contact that was probably the biggest positive surprise on fourth quarter just the EBIT margin in North America you are going into 2012 and incentives have now been a little bit above the industry average for pretty much last six months if we look at slide 13. Can you give us a sense of how you expect pricing to go throughout the year? Obviously it’s a little bit of a year-over-year failing in the first quarter, but how you expect that to trend through the year?
Chuck Stevens: I guess from our perspective we made some fairly aggressive base model price increases in 2011 to recover and actually over recover the impact of commodity price increases and freight increases. So, in the first half of the year you will see that impact roll through in 2012 because we put those price increases on kind of midyear. So from the way we are thinking about the business right now between the 2012 base price increases and new model pricing related to some of our launch products I would say that a fair amount of the net pricing will roll through in first half of the year, then we will have to monitor the situation from an industry perspective to see what happens with incentives and other opportunities. That’s kind of my perspective on the North American pricing environment right now.
Timothy Denoyer – Wolfe Trahan & Co.: Okay, so with the little bit of a headwind I guess the follow up question is – with a little bit of headwind in the second half, is there any chance of going forward with some of the K2XX launch.
Chuck Stevens: No.
Timothy Denoyer - Wolfe Trahan & Co.: Okay. Thanks.
Operator: Mr. Arickx, I’ll now turn the call back over to you to continue with your presentations or closing remarks.
Randy Arickx: Thank you operator and thanks everyone for joining us today. Have a great day.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines.